Operator: Hello, everyone. Thank you for standing by. My name is Will, and I will be your operator for today. At this time, I would like to welcome each and every one of you to the RxSight Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Oliver Moravcevic, Vice President of Investor Relations. Please go ahead.
Oliver Moravcevic: Thank you, operator. Presenting today are RxSight President and Chief Executive Officer, Dr. Ron Kurtz; and Chief Financial Officer, Shelley Thunen. Earlier today, RxSight released its financial results for the 3 months ending September 30, 2025, and updated its full year guidance. A copy of the press release is available on the company's website. Before we begin, I would like to inform you that comments and responses to questions during today's call reflect management's views as of today, November 5, 2025, and will include forward-looking and opinion statements, including predictions, estimates, plans, expectations, and other information. Actual results may differ materially from those expressed or implied as a result of certain risks and uncertainties. These risks and uncertainties are more fully described in our press release issued today and in our filings with the Securities and Exchange Commission, or SEC. Our SEC filings can be found on our website or the SEC's website. Investors are cautioned not to place undue reliance on forward-looking statements, and we disclaim any obligation to update or revise these forward-looking statements. We will also discuss certain non-GAAP financial measures. Disclosures regarding non-GAAP financial measures, including reconciliations with the most comparable GAAP measures, can be found in the press release. Please note that this conference call will be available for audio replay on our Investor Relations website. With that, I will turn the call over to our President and Chief Executive Officer, Dr. Ron Kurtz. Ron?
Ronald Kurtz: Good afternoon, everyone, and thank you for joining us. During the third quarter, we've made meaningful progress strengthening our commercial execution in the U.S. while laying the groundwork for our broader global growth. We aligned our clinical and sales teams to create a more integrated approach for customers, enabling us to improve training and engagement an approach that we continue to view as the most consistent driver for both future LAL and LDD growth. We launched the first of several new practice development and clinical engagement programs, including the MasterClass and Elevate programs that are designed to share learnings from over 250,000 LAL cases, helping practices optimize LAL workflow, enhance clinical confidence and accelerate their path to becoming experts in postoperative adjustability. During the quarter, more than 2,000 ophthalmologists implanted the Light Adjustable Lens, representing roughly 1/5 of the estimated total number of U.S. cataract surgeons. With approximately 1,100 LDDs in the field, we have ample opportunities to expand access to the LAL to more patients, and we continue to see healthy demand and growing interest from new doctors and practices. Our focus is on strategically expanding our base of LDDs and implanting surgeons while positioning our customers for success and sustained growth. Internationally, we're making steady progress on our deliberate and focused rollouts in Asia and Europe with key regulatory infrastructure and commercial initiatives underway to support our multiyear expansion across priority global markets. During the third quarter, we also added an Executive Vice President of International to lead this expansion. We recognize there's more work ahead, but the engagement we're seeing across our customer base gives us confidence that we are building a strong foundation for the future. With that, I'll hand it over to Shelley, who will review our third quarter financials and updated guidance.
Shelley Thunen: Thank you, Ron. Good afternoon, everyone. RxSight generated third quarter revenue of $30.3 million, down 14% compared to $35.3 million in the year ago quarter and down 10% compared to the $33.6 million in the second quarter of 2025. During the quarter, we sold 26,045 LALs, generating $25.7 million in LAL revenue, up 6% compared to the third quarter of 2024 and down 5% compared to the seasonally stronger quarter of 2025. In the third quarter of this year, LAL revenue represented 85% of total revenue, an increase from 69% in the third quarter of 2024 and an increase from 80% in the second quarter of 2025. We sold 25 LDDs in the quarter, down 68% from 78 units in the prior year period and down 38% from the 40 units in the second quarter of 2025. During the quarter, LDD sales generated revenue of $3.2 million, down 69% compared to the third quarter of 2024 and down 38% versus the second quarter of 2025. As of September 30, 2025, our LDD installed base totaled 1,109 units, representing a 25% increase year-over-year. Gross margin in the third quarter of '25 was 79.9%, representing an 844 basis point increase compared to 71.4% in the year ago period and a 496 basis point increase compared to 74.9% in the second quarter of 2025. The increase primarily reflects a shift in product mix with higher-margin LAL revenue rising to 85% of total revenue in the third quarter, combined with lower period costs as compared to the second quarter of 2025. In addition, lower unit costs each for both the LAL and LDD contributed to third quarter gross margin improvement compared to the same period last year. SG&A expenses in the third quarter of 2025 were $27.3 million, representing an increase of $1.7 million or 7% versus $25.6 million in the year ago quarter. This year-over-year increase was primarily due to a rise in personnel costs, stock-based compensation expense and marketing studies. On a sequential basis, SG&A expenses decreased 6% due primarily to lower marketing studies and trade show expenses. During the third quarter of this year, R&D expenses rose 3% to $9.1 million compared to $8.8 million in the third quarter of 2024. This year-over-year change primarily reflects an increase in overhead costs, offset by lower materials costs. Sequentially, R&D expenses in the third quarter decreased by 11%, primarily driven by a decrease in overhead costs. We reported a GAAP net loss in the third quarter of 2025 of $9.8 million or a loss of $0.24 per basic and diluted share using weighted average shares outstanding of 41 million shares. This compares to a GAAP net loss of $6.3 million or $0.16 per share on a basic and diluted basis in the third quarter of 2024. Note also that stock-based compensation in the third quarter of 2025 was $8.1 million. Therefore, on a non-GAAP basis, we reported a net loss of $1.7 million or a loss of $0.04 per basic and diluted share compared to an adjusted net gain of $200,000 or $0.01 per basic and $0.00 per diluted share in the third quarter of 2024. Please refer to the unaudited non-GAAP reconciliation and disclosure included in today's press release for more comparative information. We ended the third quarter of 2025 with cash equivalents and short-term investments of $227.5 million, unchanged from June 30, 2025. Moving on now to our 2025 outlook. We are narrowing our full year 2025 guidance for revenue, increasing gross margin guidance and reiterating our operating expense guidance as follows: Based on our Q3 results, more consistent LAL procedure trends and our strategic approach to LDD sales, we are narrowing our full year guidance range to $125 million to $130 million from the prior range of $120 million to $130 million. Maintaining a conservative outlook, we narrowed full year guidance range implies year-over-year decline of 11% to 7% and Q4 revenues in the range of $23 million to $28 million. At the top end of the range, our guidance assumes flat to slightly higher LAL procedures sequentially. Gross margin of 76% to 77%, an increase from our previous guidance of 72% to 74% representing an implied increase of 529 to 629 basis points compared to 2024. We estimate gross margin improvement will be driven by a higher LAL mix and the strategic approach to capital sales Ron mentioned earlier. Operating expenses are expected to remain in the range of $145 million to $155 million, representing an implied increase of 7% to 14% over 2024. We remain disciplined in managing operating expenses as we realign resources and clinical and sales teams to support long-term growth in LAL adoption and support the strategic expansion of our LDD installed base. Despite a 6% sequential operating expense decline in Q3, we expect a sequential increase in Q4, driven by the AAO trade show expenses, increased marketing expense, initial international hiring and stock-based compensation. Also note that the operating expense estimate includes non-cash stock-based compensation expense between $30 million and $32 million, an increase compared to our previous estimate of $27 million to $30 million. And with that, I'll turn the call back to Ron.
Ronald Kurtz: Thank you, Shelley. We continue to see strong global clinical and market enthusiasm for the Light Adjustable Lens. At the September ESCRS meeting in Copenhagen, the level of international interest was the highest we've seen with physicians recognizing the unique value the Light Adjustable Lens brings to achieving personalized visual outcomes. Separately, a couple of weeks ago at the AAO meeting in Orlando, the Light Adjustable Lens was again a focal point of discussion, underscoring its growing position within the global premium IOL landscape and the expanding recognition of its differentiated value for patients seeking optimal visual outcomes. As Medicare's 2026 physician fee for cataract surgery is declining 11%, we expect practices to continue placing greater emphasis on premium IOL options, especially the LAL that improves both patient outcomes and practice economics. Internationally, we are progressing in key markets, building strong relationships with early KOLs and preparing for broader expansion. We expect these efforts to begin contributing more meaningfully over time as procedural volumes grow and local clinical experience deepens. As always, our R&D team remains focused on improvements that can simplify workflows, broaden the range of patients who benefit from our technology and continue to extend our leadership in adjustable vision correction. Before I close, I want to thank all of my RxSight colleagues for their continued dedication and adaptability during this period of change. I also want to thank our many partners in clinical practice for their commitment and expertise, bringing a new clinical paradigm to patients worldwide. Together, we're helping to redefine what people can expect from a customized lens replacement solution. Overall, I'm encouraged by our progress with an aligned organization showing early signs of improved execution toward disciplined growth, customer success, and continued innovation to deliver lasting value. With that, I'll ask the operator to open the call for questions.
Operator: [Operator Instructions] First question comes from the line of Ryan Zimmerman with BTIG.
Iseult McMahon: This is Izzy on for Ryan. Just to start out, it looks like you guys had a nice beat to our utilization expectations in the third quarter. I was curious what other metrics you're going to be looking at that will continue to evaluate that the changes that you're implementing are starting to take hold.
Shelley Thunen: I think that the key metric for us and the leading metric for us is number of LAL procedures. And that to us is an absolute number. We also look at internally the number of physicians that are implanting each quarter as well. And I know the Street has been focused on number of LALs per LDD. It is certainly a measure we continue to use, but the absolute number of LALs that we have implanted each quarter is a leading indicator because then that, of course, grows the number of LALs per LDD.
Iseult McMahon: That's helpful. And there have been a couple of new entrants coming into the market. So I was curious how you're thinking about the potential impact the demand for the LAL and whether or not you expect to see similar levels of competitive trialing with these lenses, especially when we think of the broader context of reimbursement rates coming down for 2026?
Ronald Kurtz: Thank you. Maybe I'll take that one. So I think that the lowered reimbursement for traditional cataract surgery, standard cataract surgery will generally be a continued tailwind for premium IOLs generally. But we anticipate that there will be continued entrants into the field for the same reason. However, they're really more of the same, whether they're different manufacturers of presbyopia-correcting IOLs, they're more similar than not. While there is some impact as there's individual incentives to trial the lenses, the overall impact to us, we think, over the long term is modest.
Shelley Thunen: Ron, can I add one thing to that? When we look at the numbers over the last several years of market penetration, if we go back to 2022 versus where we're at in 2025, PC IOLs have gone down by about 2%. Obviously, we've gone from no market share to about 10% and toric IOLs, which are included in the premium market, but are not as much talked about, still remain about 50% of the overall market. And so if you think about where we're going, there's still a lot of room for penetration and our focus continues to be the emphasis on total LAL procedures and helping our 1,100 customers grow their practice with the LAL.
Operator: Your next question comes from the line of David Saxon with Needham & Company.
David Saxon: Congrats on the improvement here in the third quarter. I guess just on the 2,000 active surgeons you called out, I believe last third quarter active surgeons per LDD was like 1.5 or 1.6. So that is a meaningful increase just considering kind of what you're seeing. So I would love to hear what's driving that? What are you seeing in terms of the sales force realignment and kind of how to think about active surgeons going forward, especially in the fourth quarter and 2026?
Shelley Thunen: Yes. So I think that, yes, the number of active surgeons has gone up slightly between 1.7 and 2 depending on the time that we measure that. And if we think about active surgeons, they really come to us in several different ways. One is that we look for surgeons coming into the funnel from new LDD sales. But more importantly, we're looking for new surgeons coming in, in an existing practice that may not have been doing the LAL previously. And also, while it's still a very small portion of our business, open-access. So open-access is typically doctors that may not have enough volume that go to open-access centers. And so just like any other new customer, we train them and then they have the -- they do the surgery themselves and then LDD treatments are done at the open access center.
David Saxon: Okay. And then just maybe my second one is just on guidance. So I think, Shelley, you talked about the top end of the guide implying a sequential increase in LAL volumes. I mean that makes sense just given seasonality, a larger base, LDD base and benefiting from some of these initiatives you have going on. I believe that implies pretty much like mid-single-digit LDD placements. So kind of help us work through like why that would be, especially in the fourth quarter where capital placements should be stronger. How does the LDD pipeline look and kind of how we should think about that implied fourth quarter LDD placement number as we think about '26 placements?
Shelley Thunen: Yes. I'll talk about the '25 guidance first. And I think that the way I'm looking at it is a little bit more holistically around the second half. And so with our initial lower guidance of $120 million to $130 million, and then now we've increased it at the mid of the range by about $2.5 million. I'm kind of looking at the mid of the guidance that the second half is around $56 million. The top end of the range is a bit higher. And the LDD sales, I'm kind of looking holistically at the entire second half. So you're correct. They would be much lower in the fourth quarter, but I'm not reading anything into it other than the strategic imperatives that we set up as to the type of customers that we're adding and our field personnel, what they're doing. And so what we're really pushing for them to do is increase volume, right, of LALs in our existing practices. And that's important for our future growth as well. We don't want to not say that we're going to do LDDs. We placed 1,100 since we commercialize, and that's providing the basis for what we're doing. So yes, you're correct in terms of the math, but I'm also not implying something about that relative to '26 guidance, more just grounding us in the second half of this year. And then, Ron, would you add anything to that at all?
Ronald Kurtz: Yes. I think you've said it well, but I would just reiterate that. Our growth model is evolving. We obviously, early on, we were focused on a classic playbook that prioritize new systems to build access and awareness of the LAL. But we have a more diversified approach now, which Shelley outlined that still includes the strategic addition of new practices and doctors, but that can be through traditional LDD sales, open-access models, or as we just said, more importantly, growing the number of LAL procedures performed by our existing accounts with existing and new doctors. So it's just a much more diversified approach.
Operator: Your next question comes from the line of Larry Biegelsen with Wells Fargo.
Gursimran Kaur: This is Simran on for Larry. Maybe just following up with the prior line of questioning around sort of Q4 and like what this implies for 2026. Shelley, the last time we talked, you mentioned as we think about 2026, we should be thinking about sequential growth through the year from Q4. I guess I'm just trying to understand what kind of a recovery are you seeing here in the quarter? And if you can return to that year-over-year growth in 2026, given sort of the implied through in Q4?
Shelley Thunen: Yes. No, that's a very good question. And while we're not giving 2026 guidance yet, I do think that in '26, what we're looking for is sequential growth, and that is really LALs with the strategic direction that we've taken on LDDs. And that would be sequential subject to some seasonality. I can't predict that a year ahead of time right now. But our goal still is to have a measured pace of growth throughout 2026.
Gursimran Kaur: Okay. That's very helpful. And congratulations on a really standout gross margin quarter here. I guess as we think about the business model evolving from here on out, is a high 70% gross margin sort of a baseline that we should be thinking about going forward?
Shelley Thunen: Yes. I think that that's a pretty good assumption given our results in the second half, so far second quarter and third quarter. I think that it really depends on mix. In the last quarter, our third quarter, it was really heavy, LAL at 85% of our total revenue. So it will depend on that a little bit, but I think the range that we just guided, 77% to 78% is a reasonable range given that kind of mix. Now of course, mix could change a little bit. We're really heavy in the third quarter at 80%. But I think that that's generally where we want to be.
Operator: Your next question comes from the line of Patrick Wood with Morgan Stanley.
Patrick Wood: Beautiful. OUS, obviously, good to fill the role there. You've talked about a sort of a rational and sort of stable launch profile there. Any updated thoughts on like time line, how we should think about that and contribution over the next, whatever, year or 2?
Ronald Kurtz: Well, as we said, Patrick, we're excited about the opportunity outside the U.S. If you look broadly at the premium market, 2/3 of the premium procedures are performed outside the U.S. in approximately 20 individual markets, which we're focused on. And we've made excellent progress having regulatory access in Europe as well as some of the markets in Asia and are continuing to work on those. And then beginning to introduce the product beyond Canada, where, of course, we've been for a couple of years. And those efforts are still at an early stage, but making good progress. And we would expect those to take a similar course to what we saw in the U.S., where we're establishing KOL relationships, the clinical value of the technology within each of those markets, data sets that local surgeons can see and experience themselves, and then build from there.
Patrick Wood: Appreciate that, Ron. I guess as a second and just a quick follow-up. Obviously, we had a bit of noise in Q1 and Q2 in the market overall with monofocal getting picked out and then monofocal toric picking up in Q2. And I know the dangers of looking at this data in a short-term time horizon. But given all that, how would you characterize the health of the underlying IOL market and the consumer within that? Have you seen anything that is kind of better or worse? Just trying to get a sense of how you feel about the consumer and the demand structure over and above the reimbursement changes, of course, that are happening in monofocal.
Ronald Kurtz: Well, the -- it depends which consumer we're talking about. Typically, the monofocal consumer is going to be more affected by economic headwinds. And so I think that's why we saw some of that earlier in the year. And they're still under pressure and with inflation still being relatively high. And so I think that those will still be in play. But at the higher end of the market, where we tend to play, I think that we're probably a little bit less impacted. And our -- we would hope that our demand would continue to be strong in that end of the market.
Operator: Your next question comes from the line of Robbie Marcus with JPMorgan.
K. Gong: This is Allen on for Robbie. I just had a quick one, again, kind of on just how to think about 2026. I fully understand you're not guiding. But given it sounds as though fourth quarter isn't exactly the right run rate to use going forward. You said you're looking at LALs and LDDs a little bit more holistically. Should we think about just the back half of the year on average as being kind of the right place to be from an LDD and LAL perspective? Just wanted to get a little help thinking about that.
Shelley Thunen: Yes. I think what you're saying is that is the run rate of the second half of 2025 indicative of the start of '26. Is that what you're asking? I just want to make sure I understood.
K. Gong: Yes. Just like is that the right kind of baseline for us to then maybe forecast recovery or stability or whatever our assumptions on going into 2026, given you have this first half versus second half dynamic this year?
Shelley Thunen: No. I think it is a good way of looking at it. And I think what it really does is provide a baseline of the way we're thinking about the business for '26, not necessarily the specifics. So the second half of this year is where we're making a shift in our business model, right, away from the leading indicator being sales of LDDs. We've built an installed base. We've been successful at that. We now need to optimize the value of that with LAL sales, right? And those coming from our existing customers with strategic approach about who we're going to add as customers for LDDs. And so I think that approach and the philosophy will guide '26 without specifically trying to get into numbers. So I think it's going to be much heavier in LALs. I'm not so sure it will be 85% like it was in the third quarter. But I do think that, that's important to the way we'll be running the business and how we'll be measuring our own success. Would you add anything about that, Ron?
Ronald Kurtz: No. I think that's well said.
Operator: Your next question comes from the line of Adam Maeder with Piper Sandler.
Adam Maeder: Congratulations on the progress. I'll keep it to one. And one thing that's, I guess, come up in our physician checks is the post-refractive and LASIK patient opportunity. And it feels like that's a potentially sizable opportunity for the company to go after. And so I guess from your vantage point, how do you think about the opportunity for LALs in this patient segment? What percent of the volumes go towards these patients today? And where can that go over the future?
Ronald Kurtz: Well, thank you for the question. So as you pointed out, a number of physicians have recognized the benefits of the LAL more broadly, but in particular, for patients who have had previous corneal refractive procedures like LASIK, where the ability to predict the outcome of a procedure is more difficult because of the changes that have been made to the cornea and the demands of the patients are quite high since they've already demonstrated the desire to have spectacle independence. And so that's a natural population, often a place where our customers will start. If you look at the U.S. population, it could represent about 5% of the overall cataract patients, but probably represents double that in our customer profile. When we look at our post -- I'm sorry, when we look at our Phase IV studies, we typically see post-refractive cases representing somewhere between 10% and 20% of the patient population. So it's significant, but not -- certainly not the majority. But it's a nice -- it's a natural place for doctors to begin. Internationally, of course, that's -- there are markets where those percentages are even higher. And a nice feature of our technology is that we have the broadest range of spherical correction as well spherical powers, which from minus 2 to plus 30 diopters for astigmatism-correcting lens, which means that this can be used over the broadest range of patients as well who would be that population who likely would have undergone corneal refractive procedures.
Operator: Your next question comes from the line of Danielle Antalffy with UBS.
Danielle Antalffy: Congrats on making some good headway here this quarter. It's good to see. I was just curious if you could talk a little bit about what you -- I appreciate there's a lot of moving parts in the market right now. So maybe this is a little bit of an unfair question. But when you think about your penetration at your highest penetrated practices and the incremental runway you have there, I mean, how are you -- how do you feel about some of the statements you made previously thinking this will get to standard of care in premium IOLs. Do you still have conviction that, that's the case? Anything you can add to that, that gives you confidence that we'll get there? And sort of what needs to happen to accelerate towards that?
Ronald Kurtz: Well, just the first part of your question relating to where we sit at different practices, we've already achieved standard of care at some of our practices, where we represent the majority of their premium procedures. That means that the doctors at that practice have made the decision and the commitment to offer this maybe not exclusively, but predominantly to their patients because of the results that they see. And I would say that this is consistent with the surveys that we've done of our doctors, which indicates that upwards of 80% of them would choose the LAL for their own eyes or for that of their family. So obviously, we're not there across our entire base, but that still remains where we would like to get to over time. But we recognize that we need to build that over time. And our first job was to get the technology out there. As Shelley mentioned earlier, we've had a lot of success for that. And now we're focused on going deeper at those accounts to achieve exactly what you were asking about.
Danielle Antalffy: Okay. That's helpful. And then the commentary on the reduction in reimbursement, I thought that was -- that's important, maybe something I personally hadn't been thinking about for 2026. I mean what kind of -- how much of an impact do you think that could have? I guess the question is how financially motivated are these physicians, which -- who isn't financially motivated. But I don't know, is there any -- are there any guardrails you can put around how that could swing LAL adoption one way or the other in 2026?
Ronald Kurtz: Well, I think this is just a continued trend that's been going on for the last 25 years. If we look at reimbursements for cataract surgery in real terms, they're down 80%, 90%. Now in 2026, I think the average reimbursement is going to be around $450. There's just -- it's just very, very difficult for practices where cataract surgery still represents the #1 surgical procedure they're doing to be able to just stay profitable at those levels of reimbursement. And something that I try to convey to ophthalmologists -- my ophthalmology friends that there's a reason why airlines have business class and economy class. The bulk of the revenue comes from that business class, and they are able to service all their customers by servicing a broad, having a diversified offering. And so it's really a requirement to be able to offer care to all your patients to be able to offer premium IOLs to those who desire spectacle independence.
Operator: Your final question comes from the line of Tom Stephan with Stifel.
Thomas Stephan: I wanted to start off with kind of the commercial changes and the new practice development programs. Ron, maybe for you, can you just elaborate a bit on, I guess, what exactly is going well and resonating with customers? And then I guess, more importantly, like how much runway do you have with these initiatives taking hold across your entire installed base? Kind of just wondering if we're maybe only in, call it, like the first or second inning with the impact of these changes in the commercial approach.
Ronald Kurtz: Yes. Thanks for the question. So I think if I was to put an overall definition around what we're focused on, it's really increasing the efficiency and confidence of our user base in our technology. We've introduced this new capability, a new category in ophthalmology called postoperative adjustability and we expanded very quickly. It's natural that we need to bring a level of expertise and education across our user base, and that's what we're focused on. And the programs that we're using, they make use of peer-to-peer, primarily peer-to-peer, which is the way people learn, both digital and user groups and other efforts to convey that information that has been learned by our user base, by our doctors over the last 4 or 5 years. In terms of what that runway is, it's extensive. I mean this -- as you know, we have 1,100 LDDs out there. We have a lot of room for expansion of utilization. And I would definitely say that we're in the early innings of the efforts that we've put together most recently in order to leverage that installed base.
Thomas Stephan: That's great. And then my follow-up, I guess, is just kind of on the U.S. installed base. So I think you mentioned 2,000 surgeons today. Previously, if I'm not mistaken, kind of 3,000 to 4,000 U.S. surgeons was viewed as sort of the optimal addressable opportunity, if you will. So I guess, just given, call it, the more deliberate and measured approach to LDD placements as well as surgeon trainings, is there any renewed thinking around the surgeon TAM here in the U.S.
Ronald Kurtz: Yes. I think that I would just refine the numbers a little bit. The total number of cataract surgeons is in the 9,000 to 10,000 range. We initially focused our efforts on doctors who were performing, a larger percentage of premium IOLs since that was a natural target for us. Those were natural practices for us to do. But quite honestly, as I was saying earlier, premium IOLs have become an essential part of all practices. And therefore, we view the opportunity to more extensive in that 9,000 or 10,000 range. And we have a lot of those customers already. And they provide in aggregate a significant number of procedures. So whether that's through -- whether they're part of practices that are already have access to an LDD or whether they're part of a practice that will eventually acquire an LDD or they make use of an open access center, it really doesn't matter. We want to educate that physician to the benefits of adjustability and make them a customer and successful long term.
Operator: Thank you, everyone. And that concludes our Q&A session for today. I will now turn the call back over to Mr. Ron Kurtz for the closing remarks. Please go ahead.
Ronald Kurtz: Well, thank you all for your time and attention today. We appreciate your interest in RxSight and look forward to updating you on our progress in future quarters. Goodbye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect. Have a nice day ahead.